Operator: Greetings, and welcome to the FleetCor Technologies, Inc. First Quarter 2016 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Eric Dey, Chief Financial Officer with FleetCor Technologies, Inc. Thank you. You may begin. 
Eric R. Dey: Good afternoon, everyone, and thank you for joining us today. By now, everyone should have access to our first quarter press release. It can be found at www.fleetcor.com under the Investor Relations section.
 Throughout this conference call, we will be presenting non-GAAP financial information, including adjusted revenues, adjusted net income, adjusted net income per diluted share and adjusted EBITDA. This information is not calculated in accordance with GAAP and may be calculated differently than other companies' similarly titled non-GAAP information. Quantitative reconciliations of historical non-GAAP financial information to the most directly comparable information appears in today's press release and on our website, as previously described. Also, we are providing 2016 guidance on a non-GAAP basis.
 Finally, before we begin our formal remarks, I need to remind everyone that part of our discussion today will include forward-looking statements. This includes forward-looking statements about our 2016 guidance, new products and fee initiatives and expectations regarding business development and acquisitions. They are not guarantees of future performance, and therefore, you should not put undue reliance on them. These results are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. Some of those risks are mentioned in today's press release on Form 8-K filed with the Security and Exchange Commission. Others are described in our annual report on Form 10-K. These documents are available on our website, as previously discussed, and at www.sec.gov.
 With that out of the way, I would like to turn the call over to Ron Clarke, our Chairman and CEO. 
Ronald F. Clarke: Eric, thanks, and thanks to each of you for joining the call today. Up front here, I plan to cover 3 subjects: first, I'll comment on our Q1 results; second, I'll discuss our 2016 guidance; and finally, I'll update you on our company's strategic progress.
 Okay. So on to the quarter. We're delighted to report Q1 revenue of $414 million versus $416 million last year, so essentially flat. We reported Q1 cash EPS of $1.53. That's versus $1.45 last year, so up 6%. So that earnings result is a bit better than our guidance.
 On a macro neutral basis, that is adjusted for fuel price, fuel spreads and FX, revenues actually grew 10%. That's excluding SVS. And cash EPS grew 20%. So growth of 10% on the top and 20% on the bottom on a constant macro basis. We called the macro environment right for the quarter. Fuel prices and FX came in virtually on our plan. Fuel spreads were a bit worse than planned because fuel prices started to rise in mid-March but basically as we planned.
 There were 5 primary drivers of growth in Q1. So first, the MasterCard business. A great quarter. Volume was up 17%, helped by Uber. And revenue was up 48% on a constant macro basis for the quarter. So that product continues to have legs.
 Second, Comdata was solid. Comdata trucking fuel card business up 11% in the quarter and corporate payments business up 13%, excluding health care. So a good Comdata quarter.
 Pac Pride, a business we acquired about 1.5 year ago, doubled revenue in the quarter versus last year. A good result.
 The Shell Europe outsourcing business was up 150% for the quarter, mostly due to the rollout of additional markets. So a lot of help from Shell.
 And then lastly, we enjoyed lower interest expense as we delevered and a lower tax rate than last year, both of those adding to our earnings growth.
 Sales. We had a really good sales result in Q1. Our new sales booking dollars, the way we look at new business was up 27% versus the prior year. Increases really across the board. New sales are the best indicator of market demand or market receptivity for our products. So it suggests our offerings continue to be quite relevant.
 So look, in summary, for the quarter, we're basically out of the blocks here where we expect expected to be. We're delighted to see Comdata in double-digit territory, happy to see the macro environment trending up at the end of the quarter and pleased with our underlying growth fundamentals staying around the 10% mark for the quarter.
 Okay. Let me transition now over to our 2016 guidance. We're revising full year guidance today to $6.53 in cash EPS at the midpoint. That reflects the $0.03 beat we had in the first quarter. We're keeping our rest of year guidance intact for now despite the fact that fuel prices and FX have improved in recent weeks. The trend is quite short. So we're not prepared to extend those current levels to the full year. We'll look to make adjustments as we see more data. Obviously, there's upside to the $6.53 full year cash EPS guidance, probably in the range of $0.20 to $0.25, if macro factors were to continue to hold where they are today and we complete the STP acquisition in Q3. So some upside there.
 Okay. Let me shift gears and provide a bit of an update on FleetCor's overall strategic progress. So first off, number one, our portfolio, that's the product lines and the geographies that we serve. So we signed STP, the Brazil toll company, deal in Q1. That put FleetCor into a new category, electronic toll payments. And the Shell Europe outsourcing deal has helped us enter 7 new European markets, bringing our total markets served to 12 of the world's top 20. So now actively in -- generating business in 12 of the world's top 20 markets. So as we continue to extend our market potential, that extends the company's opportunity to grow as we enter these new product categories and serve yet new geographies. We clearly like the diversification and the added ratability that it brings.
 Second, our build strategy organic growth. We continue to make investments in organic growth. Our 2016 plan calls for $15 million of additional sales and marketing spend, along with the addition of 250 salespeople. We're also going live testing outsourced telesales. We're doing that both in our Comdata corporate payments business and a couple of our European businesses, looking for new ways to scale sales faster.
 We're busy testing lots of new products. First off, BuilderPro, it's a purchasing card for the construction industry. It lets clients buy fuel and construction supplies in a controlled manner. We're reselling Kabbage lending products to our existing clients to further leverage our client relationships. We're live with our Comdata hotel card program. That's a rebranding of our CLC program but targeted to Comdata trucking clients who are big users of midpriced hotel rooms. And we're also bundling something called fuel tax compliance along with our new Comdata trucking card sales. And we're getting over half of the new accounts to take that bundle. So the summary is we're working hard to keep our products fresh everywhere.
 Third, partner strategy. We've reorganized our partner group to put even more pressure against our global partner business. That focus has resulted in a number of new partner wins over the last couple of years, including 2 new relationships in Canada. So although it's been slow, we remain very bullish on the long-term partner opportunity. We're actively chasing a couple of partner RFPs right now and expecting decisions sometime here in 2016. So still believe in the upside there.
 And fourth area, acquisitions. We announced the $1 billion acquisition of STP in March. We started our planning work for that business and hoping to get antitrust approval in Q3, along with continuing to work on a couple of additional acquisition targets.
 So overall, we're making good strategic progress. We're expanding our portfolio and the opportunities at which we play. We're investing in more sales. We're investing in more new products. We're winning new partners. We're signing up new deals. We're continuing the build, buy and partner strategy we outlined 5 years ago when we went public, and it's working.
 So with that, let me turn the call back over to Eric. He'll provide some additional detail on the quarter and our outlook. Eric? 
Eric R. Dey: For the first quarter of 2016, we reported revenue of $414.3 million, relatively flat to the $416.2 million in the first quarter of 2015. The revenue from our North American segment increased 1.6% to $303.5 million from $298.8 million in the first quarter of 2016. Revenue from our International segment was down 5.7% to $110.7 million from $117.4 million in the first quarter of 2016.
 For the first quarter of 2016, GAAP net income increased 16.8% to $110 million or $1.17 per diluted share from $94.2 million or $1 per diluted share in the first quarter of 2015.
 The other financial metrics that we routinely use are adjusted revenues and adjusted net income, which we sometimes also refer to as cash net income or cash EPS. Adjusted revenues equal our GAAP revenues less merchant commissions. We use adjusted revenues as a basis to evaluate the company's revenues, net of the commissions that are paid to merchants who participate in certain card programs. We prepare adjusted net income to eliminate the effects of noncash items that we do not consider indicative of our core operating performance. A reconciliation of adjusted revenues and adjusted net income to GAAP numbers are provided in Exhibit 1 of our press release.
 Adjusted revenues in the first quarter of 2016 of $386 million were relatively flat compared to $388.8 million in the first quarter of 2015. Adjusted net income for the first quarter of 2016 increased 6% to $144.3 million or $1.53 per diluted share compared to $135.9 million or $1.45 per diluted share in the first quarter of 2015.
 Included in the first quarter results was the impact of the macroeconomic environment, which continued to be unfavorable versus the prior year. When we talk about the macroeconomic environment, we are referring to the impact that market fuel spread margins, fuel prices and foreign exchange rates can have on our business. Changes in foreign exchange rates were unfavorable in most geographies for the quarter and overall, we believe, negatively impacted revenue during the quarter by approximately $13 million. Fuel prices and spreads were also unfavorable during the quarter and although we cannot precisely calculate the impact of these changes, we believe, negatively impacted revenues by approximately $25 million.
 In total, the impact of these changes negatively impacted our revenues by approximately $38 million in the first quarter and adjusted net income per diluted share by approximately $0.21. On a constant macro basis, revenues would have been up approximately 9% and adjusted net income per diluted share would have been up approximately 20%. 
 For the first quarter of 2016, transaction volumes increased 13% to 487 million transactions compared to 431.3 million transactions in the first quarter of 2015. North American segment transactions grew 13%, driven primarily by growth in the MasterCard and SVS businesses. Transaction volumes in our International segment grew 12% and were primary impacted by the addition of new Shell markets in 2015 and a small tuck-in acquisition in the first quarter of 2016.
 For discussion on revenue per transaction, we are going to exclude the impact of the SVS business, which had approximately 342 million transactions in the quarter at a very low revenue per transaction. Revenue per transaction for the first quarter of 2016, excluding the SVS business, decreased 10.6% to $2.56 from $2.87 in the first quarter of 2015. Revenue per transaction can vary based on the geography, the relevant merchant and customer relationship, the payment product utilized and the types of products or services purchased. The revenue mix is influenced by our acquisitions, organic growth in the business and fluctuations in the macroeconomic environment.
 Revenue per transaction, excluding SVS, decreased 8% in North American due primarily to the impact of lower fuel prices during the quarter and lower fuel spread margins versus prior year. And although we cannot precisely calculate the impact of these changes, we believe they negatively impacted our revenues by approximately $24 million in the first quarter. On a constant macro basis, revenue per transaction in North America segment would have been approximately $3.09 versus $3.07 in 2015.
 In the International segment, revenue per transaction decreased 16% due primarily to unfavorable foreign exchange rates in most of our geographies. Foreign exchange rates impacted revenues unfavorably by approximately $13 million in the quarter. On a constant macro basis and excluding the small tuck-in acquisition, which had transactions at a very low revenue per transaction, revenue per transaction in the International segment would have been approximately $2.72 versus $2.51 in 2015.
 Now let's shift over and discuss some other drivers of our first quarter performance. For our North American segment, most of our lines of business performed well, resulting in approximately 10% organic growth rate in the quarter at a constant fuel price spread and foreign exchange rate basis. Some of the positive drivers in North America revenue during the quarter were similar to the last several quarters, including the exceptional performance of our MasterCard product, which had revenue growth of approximately 48% over the first quarter of 2015, assuming constant fuel prices.
 The CLC Group, provider of our lodging card programs, had another solid quarter with 7% revenue growth over the first quarter of 2015. This revenue growth was driven primarily by increase in our CheckINN Direct product, which targets smaller accounts, partially offset by softness in some of our larger accounts that primarily do business in the oil and gas sector.
 Our Comdata business performed well in the quarter. The trucking business was up about 11% in the quarter, and growth in the corporate payment business was also up 13%, excluding health care.
 Our Pac Pride business is off to a great start, and we have already nearly doubled the revenue of the business since we acquired it in 2014.
 International segment revenue was down approximately 6% in the first quarter of 2016 versus the first quarter of 2015. This decrease was driven primarily by unfavorable foreign exchange rates in most geographies, which negatively impacted revenues by approximately $13 million in the quarter versus last year. On a constant currency and fuel price basis, organic growth was approximately 6% for the first quarter.
 Results in our International business were impacted by the continued conversion of the Shell's small business portfolio. We are now in a total of 7 markets with a plan to convert the remaining markets during the remainder of 2016. On the downside, the economies in Brazil and Russia continue to struggle and are impacting revenues in those markets.
 Now moving down the income statement. Total operating expenses for the first quarter were $238.3 million compared to $252.4 million in the first quarter of 2015, a decrease of 5.6%. As a percentage of total revenues, operating expenses decreased to 57.5% of revenue compared to 60.6% in the first quarter of 2015. Included in operating expenses are merchant commissions, processing expenses, bad debt, selling and general administrative expense, depreciation and amortization expense and other operating net. Included in the first quarter 2016 operating expense were favorable impacts resulting from foreign exchange rates being down in most of our foreign businesses, which resulted in an approximately $10 million favorable adjustment to amortization and a $6 million adjustment in other expense lines.
 Also, stock-based compensation expense in the first quarter of 2016 was $15.9 million compared to $17.7 million in the first quarter of 2015.
 Credit losses were $6.8 million for the quarter compared to $8.1 million in the first quarter of 2015. The decrease in bad debt was primarily due to  lower bad debt in some of our U.S. businesses in the quarter.
 Interest expense decreased 17% to $16.2 million in the first quarter of 2016 from $19.6 million in the first quarter of 2015. The decrease in interest expense was due primarily to the impact of delevering from the first quarter of 2015 through the first quarter of 2016.
 Our effective tax rate for the first quarter of 2016 was 29.9% compared to 32.6% for the first quarter of 2015. The decrease in the effective tax rate was primarily due to certain favorable discrete items booked in the first quarter of 2016 of approximately $3 million and an overall lower tax rate related to tax planning initiatives that were implemented late in 2015. The 2016 tax benefit booked in the first quarter related to tax planning initiatives was approximately $1.2 million.
 Now turning to the balance sheet. We ended the quarter with approximately $545 million in total cash, approximately $145 million of which are restricted and are primarily customer deposits.
 As of March 31, 2016, we had approximately $1,894,000,000 outstanding on our Term A loan, $247 million outstanding on our Term B loan and $90 million drawn on our revolver, leaving approximately $945 million of undrawn availability. We had approximately $551 million borrowed against our securitization facility.
 As of March 31, 2016, our leverage ratio was 2.35x EBITDA, which is well below our covenant level of 4x EBITDA. We intend to use our free cash flow to temporarily pay down the balance on our revolving credit facility and securitization facility and maintain liquidity for acquisitions and other corporate purposes.
 To remind everyone, on February 4, 2016, our Board of Directors authorized a repurchase of up to $500 million of FleetCor's common stock during an 18-month period ending August 1, 2017. During the first quarter of 2016, the company did not repurchase any stock as our trading window did not open due to the impending announcement of the STP transaction. Our intention is to implement a 10b5-1 share buyback plan when the window opens in the next few weeks. There is no guarantee as to the number of shares that will be repurchased, and the stock repurchase program may be extended, suspended or discontinued at any time without notice at FleetCor's discretion. Any repurchases are expected to be funded by available cash flow from the business and undrawn revolver.
 And finally, we are not a capital-intensive business, and we spent only $12 million on CapEx during the first quarter of 2016.
 Now on to our outlook for the remainder of 2016. Before I begin our discussion on guidance, I want to update you on our latest thinking about the macroeconomic environment. Although foreign exchange rates and fuel prices are trending a little better than our 2016 assumptions we provided on the January call, we are keeping our prior macro guidance unchanged until more of a trend can be established. We don't know how the environment will actually play out in 2016. But if it stays anywhere where it is today or continues to improve, some of the headwind we have been experiencing may come back as a tailwind.
 For the balance of the year, we are keeping our prior macro guidance intact, and we are estimating that foreign exchange rates will negatively impact revenue by approximately $32 million for the next 3 quarters compared to the 2015 average for the same period. And the absolute price of fuel is expected to be a headwind to revenue of approximately $32 million for the last 3 quarters versus the 2015 average over the comparable period.
 In addition, we believe market spreads will be better than historic levels but contribute approximately $7 million less revenue than 2015 spreads for the balance of the year. In aggregate, we believe the macroeconomic environment creates an approximately $70 million in revenue headwind and approximately a $0.50 cash EPS headwind for the rest of the year versus the 2015 averages.
 That being said, we expect total revenues to be between $1,730,000,000 and $1,780,000,000; adjusted net income to be between $608 million and $628 million; and adjusted net income per diluted share to be between $6.43 and $6.63 or $6.53 at the midpoint.
 Some of the assumptions that we have made in preparing this guidance include the following: weighted fuel prices equal to $1.91 per gallon average for 2016 compared to $2.56 per gallon average in 2015, a reduction of approximately 25%; market spreads returning to more historical levels for the rest of 2016, down approximately $7 million versus 2015; foreign exchange rates equal to the 7-day average ending January 15, 2016; the SVS business is retained for all of 2016; continued weakness in the company's Russian and Brazilian businesses; a full year tax rate of 31.9%; fully diluted shares outstanding of 94.7 million shares; and no impact related to acquisitions or material new partnership agreements.
 We have also not included any impact related to the previously announced STP acquisitions. We may have upside to this guidance in the range of $0.20 to $0.25 in adjusted net income per diluted share if we close STP, as expected, in the third quarter and the macro stays where it is today.
 As we stated on the STP call in March, we expect that an STP closing in the third quarter could add approximately $0.10 in incremental adjusted net income per diluted share. Also, if the macro stays where it is today, we could expect incremental revenue of approximately $20 million to $25 million and adjusted net income per diluted share of approximately $0.10 to $0.15.
 For those of you that are looking for guidance for the second quarter, I want to remind everyone that our business has some seasonality and the macro will have an impact on the second quarter, as I previously discussed. For the second quarter, we are expecting adjusted net income per diluted share to be approximately the same as the first quarter.
 Finally to remind everyone, our volumes build throughout the year and our new asset initiatives gain momentum throughout the year, resulting in a much higher earnings per share in the third and fourth quarters. Traditionally, our third and fourth quarters' earnings tend to be quite similar. We have no plans to provide quarterly guidance going forward but ready to update our annual guidance each quarter.
 And with that said, operator, we'll open it up for questions. 
Operator: [Operator Instructions] Our first question comes from the line of James Schneider with Goldman Sachs. 
James Schneider: Good performance in the Comdata fleet business again, I think, 12% growth you called out versus 13% growth last quarter. That's an improvement after you acquired it, clearly. But as we go into the back half of the year, how would you expect that business to trend? Would we see a deceleration there down to the high single digits or 10% range? Or is that a little bit too aggressive? 
Ronald F. Clarke: James, it's Ron. I would say if you looked at our plan, we'll probably step it up a point or 2 as we have through the year. 
James Schneider: Okay. That's a fair enough. And then maybe you could just update us on the same-store sales trend that you saw in the quarter. I don't think you broke it out, but you did last quarter. Any improvement then in the verticals that you touched on last quarter that was driving headwinds? Or is it pretty much same old, same old there? 
Ronald F. Clarke: Yes, it's a little better. I think our consolidated number for Q1 is kind of minus 1%. So still a bit of a headwind. But I'd say it's more pocketed. There are places that are kind of okay to good and then some other places like CLC with the railroads and Russia, Brazil that are still quite bad, 7%, 8% negative. So it's not kind of an average across the board. It's quite pocketed. 
James Schneider: And then just one last one, if I could. Can you maybe just comment on the overall pricing landscape with respect to your different customer segments? Do you feel like you're sort of maxed out there in terms of what you were able to achieve in terms of pricing actions? Or do you feel there's a little bit more in some areas you can do? 
Ronald F. Clarke: Yes, James, there's always more. It's just the decision of, like we say, how -- where to push and how to push. I'd say we're pretty comfortable where we are, but I would say there's always more opportunity. 
Operator: Our next question comes from the line of Sanjay Sakhrani with Keefe, Bruyette, & Woods. 
Steven Kwok: This is actually Steven Kwok filling in for Sanjay. Just the first question is around STP. What was the next steps that you need to take in order to close the deal? 
Ronald F. Clarke: Steven, it's Ron. So I'd say there's some set of kind of closing conditions, a handful of closing conditions with the primary ones being antitrust approval. So we have filed that a few weeks back and our quote in that process, our best estimate again is kind of early Q3. So I'd say that's probably the long pole. 
Steven Kwok: Got it. And then just if you could comment around like same-store sales trends. Have you seen any diverging trends within, whether it's the U.S. or the rest of the world? 
Ronald F. Clarke: Yes, I mean, that was the comment I made. I'd say again that kind of on a weighted consolidated basis, we were minus 1%. But if you looked across our 15 or 20 businesses or geographies, there are a number that were in the plus column, some that were kind of flat and then a few that I called out were still quite negative, Brazil, Russia, the CLC railroads, 7%, 8% softness. So a mixed bag on same-store. 
Steven Kwok: Got it. And then last question just around the M&A landscape. Any particular areas you are looking at? 
Ronald F. Clarke: Yes, I mean, I think we sound like a bit of a broken record. I'm actually looking at our deal pipeline page sitting here on the call. So I would repeat again that we have a number. So more than 2 things that are "active" in our pipeline beyond STP. And I'd say to looking at the list, it runs the gamut, we've got a couple, 2, 3 kind of tuck-ins, small things that are in markets we're in, a couple of things that get us into a new geography. So again, I'd say it's a range of different opportunities. 
Operator: Our next question comes from the line of David Togut with Evercore ISI. 
David Togut: Could you comment on AllStar performance in the quarter? You've been rolling out a chip card with AllStar through Visa. I'm wondering if that's affecting same-store transactions at all. And/or are you seeing any incremental revenue per transaction as you upgrade from max right to chip card? 
Ronald F. Clarke: David, it's Ron. I'd say it's probably still on the disappointing side. Not much different than I think when we spoke last. I don't have it in from of me, but I'd say the U.K. was probably south of 5% organic for the quarter, and it's mostly just pace. I think it's the same comments in the last call that the pace of conversions, we have about half the book converted, and then getting people to use the card properly that gives us the advantaged economics as a bit of a learning and then again getting the incremental salespeople to sell more of that product. So it's the combination of the 2 or 3 things that will create lift are still getting worked. So I would hope and our plans here that thing will trend up as we move through the year. 
David Togut: Got it. And then staying on International. Could you comment on the big oil pipeline a bit, whether you're seeing any movement in that? And what are the some of the big oils looking for in Europe to make a decision to outsource? 
Ronald F. Clarke: Yes, I think we mentioned although this thing is glacial, there are actually a couple opportunities, partner opportunities that have moved from kind of RFI to RFP. And I would say that we think there would be at least a couple, 2 partner decisions that would happen in this year in 2016. So we'll obviously be back here. But I'd say that the good news like there were a couple over the last couple of years, it appears that at least a couple have moved far enough ahead that they're going to make a decision. 
David Togut: And would those be more on the SME portfolio like Shell? Or could you see some of the larger fleet business being outsourced? 
Ronald F. Clarke: There's actually a couple of flavors in the 2. There's one that's got a more traditional take the program, and there's another one that looks more like the Exxon and Shell model. 
David Togut: Got it. Just a quick final question on Uber. I think you were -- Eric called out Uber as a growth driver. Could you put some numbers around that so we can understand how substantial that is and what the outlook might be? 
Ronald F. Clarke: Yes, Eric, you might have the numbers. I'd say, David, the thing again is rocking, right? We introduced it not quite a year ago. And both the adoption of drivers and usage has been high. And then Uber has continued, because people like it, drivers like it, to extend the offer to more drivers. So the thing is literally building sequentially. I mean, it is -- I would say it's probably 1 of the top 3 or 4 largest clients that we have now in terms of volume in North America already. And it's not a year old. And obviously, as you know, I mean, although not agreed or whatever, the opportunity to take that thing beyond the U.S. is still another huge opportunity if Uber gives us a call for that. 
Eric R. Dey: David, this is Eric. Just to add on to that, although Uber does have a lot of gallons and it is progressing very, very nicely, it is a lower revenue per tran product, just so you're clear. So it's not as revenue intensive as some of the other products that we have. 
Operator: Our next question comes from the line of Danyal Hussain with Morgan Stanley. 
Danyal Hussain: It sounds like macro is in line. So were there any surprises in the quarter on a fundamental basis versus your expectations? Or is growth broadly in line? 
Ronald F. Clarke: Yes, Danyal, it's Ron. I'd say of the key macros, again, fuel price and FX was kind of spot on our plan. We did a little bit of headwind, I think, call it, $4 million or $5 million lower than our plan on spreads because fuel prices ticked up kind of starting mid-March. So that obviously contracted spreads a bit. So I'd say that's the only macro thing in the quarter. And then I'd say again, if you looked at our plan versus the consolidated thing, I'd say most, virtually all, businesses kind of are where we expected. So I'd say in the past few years, this was about as ratable a period as we've had in terms of our expectations against the actuals. 
Danyal Hussain: Got it. And you called out being in now 12 of the top 20 fuel markets. Can you give some color or examples of what the other 8 are and if those countries even have fuel cards or what the sort of path might look like to penetrate those markets? 
Ronald F. Clarke: Yes, I mean, the first thing I'd say is to have started out the first 7 years in the company being in the U.S. and to be in 12 of the top 20, and said repeatedly, of those 12, 6 of them we're just barely in. So the first point is there's enormous runway in the 12 served. But of the 8 not served, I mean, the biggest block would be obviously Asia. So the first 3 to come to mind would be China, Japan, South Korea. So we're not in those 3. Obviously, 2 of those are huge. And then in Continental Europe, a couple that jumped off to me are Italy and Spain that we're not in. I think Turkey as well is a top 20 that we're not in. And then I guess the last one that comes to mind that's huge that we're not in is India, which, I think, is a lot farther away. So I would say that we are chasing hard a couple of European geographies that we're not in. And I'd say the Asia one's probably a bit more difficult. 
Danyal Hussain: Got it. And Eric, maybe you can just clarify the tax benefit in the quarter. It sounded like it was $3 million of total benefit and is it -- of which $1.2 million was planned and might recur over the course of the year. And maybe you can just give, I guess, some guidance on what the full year rate might look like. 
Eric R. Dey: Yes, I think you're correct the way you said it. We worked on a couple of tax projects last year, and those tax projects concluded toward the end of the year last year. We did have some carryover effect to a couple of the projects where we booked some favorability into the first quarter. That really pertained to last year. It was kind of a couple of -- or $3 million that we called out. In addition to that, the tax projects will have an ongoing favorable impact to our tax rate of about, call it, $1 million or so per quarter, which we called out as well. And that will be ongoing. The balance of the year tax rate, expect something in the 31.9% range. 
Operator: Our next question comes from the line of Tim Willi with Wells Fargo. 
Timothy Willi: A couple of questions. First, just going back to CLC. I think that 7% number is probably one of the lowest at least I can recall in a while. And I know you called out oil and sort of energy markets as a drag. Could you maybe -- if you were to separate that vertical or those industries, what would the rest of CLC look like on an underlying basis? Just approximation if you don't have it exactly. 
Ronald F. Clarke: Yes, Tim, it's a Ron. So the short story on CLC, which was run in kind of mid-teens, mid- to high teens, so this softness started, call it, Q3 last year. So kind of 3 quarters in, Q3, Q4, Q1. And basically again, CLC is a business with 2 portfolios. One, it's got 25, 30 big clients. It's been around a long time, do huge volumes that include railroads, trucking firms, some oil companies, et cetera. And then it's got thousands and thousands of SMBs that's got 10, 15 cards. So the problem is in the first group where that group is quite soft and causing about 8% softness versus Q1 the prior year. So effectively, if those accounts were doing the volumes they were a year ago, that business would be at 15% again organic for the quarter. So the other half of the book is growing high teens and revenue close to 20%, and the larger account book is obviously not growing much because it's negative 8% softness. 
Timothy Willi: Okay. And a follow-up on this and then I have one more. I can't remember is if this was asked on a prior call. But within those large enterprises, I'm thinking about the Comdata customer base, can you just refresh our memory if you talked about it before, the cross-sell opportunity, are they there or are a lot of those big Comdata customers already CLC customers? 
Ronald F. Clarke: Yes, that's a great question. We actually -- I think I did mention this. We private-labeled or Comdata-labeled the CLC program starting in Q4. So we took the CLC thing. We created a way to use the Comdata cards at the hotels. We trained up the Comdata sales group, and they've been out selling to both big and small accounts. And the last review I had a couple of weeks ago, I think we've on-boarded 300 new accounts in the first, whatever, 90, 120 days. So yes, we've had trucking -- CLC had trucking clients before we own Comdata, but now we packaged the product for Comdata and targeted our salespeople back to the Comdata base. And so the early views are great. The clients like that we have something else to offer them that's got some value, and a bunch of them are taking us up on it. 
Timothy Willi: Great. And then I had my last one just going to sort of the corporate payment side at SVS. I know you referenced the growth rate ex health care. Just sort of curious, now that you've had that asset, I guess, for a little bit over a year now, 15 months, give or take, have any new specialized verticals emerged for that application in terms of growth opportunities or anything around the sales side, just generally speaking, around corporate payments? Or are you sort of making the investments and maybe we're on the cusp of some things happening? Or is it going to be more sort of just steady as she goes kind of performance there ex health care? 
Ronald F. Clarke: Are you on SVS or you're on corporate payments, Tim? 
Timothy Willi: I am on corporate payments, the corporate payments business. 
Ronald F. Clarke: Yes, so the corporate payments business, again, is a bit of a tale of 2 cities. The health care thing continues to be soft. A couple of big accounts we called out a year ago. One of those has kind of gone for good, and the other one is kind of slowly coming back. We got a bit of it, but we'll see more as we exit the year. So that business is really down, that little subsegment. But the rest of the business is up crazy amounts. The construction business is up 20% to 25%. The reseller business is up 30%. So we are -- I think I mentioned we're pouring. I think we doubled the sales headcount in that business in the last 6 months in terms of people literally on the street today. So the "business without health care" is growing well. And I'd say the sales, which is the lead indicator for revenue, are quite good. So again, I think we like it a lot other than the stub we had in health care. 
Operator: Our next question comes from the line of Ramsey El-Assal with Jefferies. 
Ramsey El-Assal: The growth in your MasterCard offering has been -- was obviously incredibly impressive in the quarter and has been helped for a long time. Can you once again help us think through the drivers of that growth? Maybe have those drivers changed over time? And also just a little bit of color on the sustainability of the growth. I know you mentioned Uber was a contributor this time around. But should we expect this kind of healthy revenue growth in this product category to just continue as far as the eye can see? Or what are your thoughts there? 
Ronald F. Clarke: Yes, Ramsey, it's Ron. So yes, I would probably say no to 48%. I think we sounded a little bit like Google with that. But I'd say we're super bullish on that thing being high teens, low 20s grower for kind of as far as we can see because it's a product that just fits everybody, right? Every geography, every size, group. So it's really we dialed that product in to be a really attractive product. The drivers of it are sales. We poured sales in it. So the volume, I think, I quoted up 17%. Some of that Uber, some of that is just again the sales investment. It's mix again. We're pouring money into digital. So we're going down market a bit. And some of that volumes were getting obviously much better rate as the mix keeps getting smaller in that portfolio. And then lastly, we did pour some rate stuff in Q1 of '15 when we saw the fuel prices tank. And so we're at a point here where we have that rate kind of sitting in Q1 of '16 and it didn't sit all that much in Q1 of '15. And so I'd say that the 48% is a bit artificially high for those couple of reasons. But again, this is a long-term grower for us. 
Ramsey El-Assal: Great. That's super helpful. A couple of quick ones on Sem Parar. How did the company do in the quarter? 
Ronald F. Clarke: It's funny. We reviewed that. I'd say it was exactly on expectation. So as part of our acquisition and theses, the company had a budget, and we -- FleetCor built a model. And what they've shared with us is basically spot on what we thought, which was quite comforting. 
Ramsey El-Assal: And last one also on Sem Parar. Any changes in the financing terms on that transaction? If I'm not mistaken, it seems like spreads have gotten a little bit more favorable since you announced the deal. I'm not sure if that's the case or not, but any incremental view on financing costs there? 
Eric R. Dey: No, it's about the same. We're financing that transaction through our existing debt facilities. So rates are effectively fixed in that facility. So expect to see something at LIBOR kind of plus 175 from a rate standpoint for that deal. 
Operator: Our next question comes from the line of Tien-tsin Huang with JPMorgan. 
Tien-Tsin Huang: Great. My name was terrifying for the operator, I'm sure. Yes, so a lot of good details as always, guys. Just the sales, the booking dollars, I think, Ron, you said up 27%. Where are you putting -- where are you seeing some of that good sales performance? Is it more international, domestic? Is it in the same areas or maybe some new areas? Just trying to understand that better. 
Ronald F. Clarke: Yes, Tien-tsin, it's literally almost across the board. I've got the page here in front of me. I mean, the U.S. numbers were up big, part of it is because we a good quarter a year ago. The Comdata bookings were way, way up, right, because we made big investments both in the trucking line of business and in the corporate payments business. Shockingly, even our Russia sales are way up as that thing has started to stabilized a little bit, the people stabilized, the sales are way up. So I'd say other than Brazil, most other areas, the CLC business had a rocking up 34% over the prior year. So it's -- I don't know, investors are not as focused because it doesn't make its way into the P&L. But for us, it's the single best indicator of health, right? Shop your stuff today and the people want it and so it's quite encouraging for us to be up that much. 
Tien-Tsin Huang: Sure. I know it sets the stage for growth to come, which is why I want to ask on the international side, organic growth. I think, Eric, you said it was 6% with some of the new sales and sales and marketing going into different areas. Can we see that improve? Or is it really going to be more of a macro cyclical thing that drives it? 
Eric R. Dey: Yes, Tien-tsin, it's a little of both. I mean, obviously, the macro impacted a lot of our international segments pretty dramatically in the quarter and same as last year. The good news is we are building some sales momentum in some of those geographies that we're investing more money in. As Ron called out, Russia as an example. We're pouring more money into places like the U.K. and hope to see some better results as we look kind of for the rest of the year. And I would say if we had one spot where we need to improve, again, it's kind of Brazil where we're seeing a bigger macro impact. But all in all, the sales were kind of really good in the quarter, and those will eventually translate into revenue as we move along. 
Operator: Thank you. Ladies and gentleman, that's all the time we have for questions today. This does conclude today's teleconference. I'd like to [indiscernible]. You may disconnect your lines at this time. Thank you for your participation.